Operator: Welcome to EQB's Earnings Call for the Third Quarter of 2025. This call is being recorded on Thursday, August 28, 2025, [Operator Instructions] It is now my pleasure to turn the call over to Lemar Persaud, Vice President and Head of Investor Relations. Please go ahead.
Lemar Persaud: Thank you, Joanna, and good morning, everyone. I'm excited to be sitting on this side of the call after following Canada's Challenger Bank and the financial services sector for several years. Your host for today's Q3 results call are Vincenza Sera, Chair of the Board of EQB; the newly appointed President and CEO, Chadwick Westlake; Marlene Lenarduzzi, Chief Risk Officer; who served as interim President and CEO during the quarter; and David Wilkes, SVP, Chief Strategy and Growth Officer. As announced yesterday, our new CFO, who joined us as of today and Anilisa Sainani is also here with us in the room. For those on the phone lines only, we encourage you to also log into our webcast and view our quarterly presentation, which will be referenced during the prepared remarks. On Slide 2 of our presentation, you will find EQB's caution regarding forward-looking statements as well as the use of non-IFRS measures. All figures referenced today are on an adjusted basis, where applicable, unless otherwise noted. With that, I will turn it over to Vin.
Vincenza Sera:
Independent Chair of the Board: Thank you, Lemar, and good morning, everyone. This is the beginning of a new era for EQB and it's my pleasure to take this opportunity to join the leaders of the team entrusted to create next-generation value for their first earnings call. In doing so, I want to again express our sadness as we all mourn the loss of our friend, colleague and fierce champion for all Canadians, Andrew Moor. What drove Andrew to be such an inspiring leader all of us was his steadfast belief that Canadians deserve so much better from their banks. Andrew's meaningful impact on all who knew him, and on the Canadian banking industry is permanent. I also want to thank Marlene for her exceptional service as Interim President and CEO. This week, she returns to her previous role as Chief Risk Officer. The last few months have demonstrated clearly that we have a deep bench with leaders at all levels willing and able to step up. After completing our thorough and years long succession planning process, we celebrate Chadwick's return to EQB at the beginning of this week. Speaking on behalf of the Board, I am here to express our full support for Chadwick, he is the capable, energetic and experienced leader we need take EQB to the next level of growth and performance. We look forward to collaborating with Chadwick as he develops the strategic plan to move our company forward in the months and years to come. Chadwick will offer his initial thoughts on the way forward to wrap up the call. Now I'll turn it over to Marlene to start with some comments on results for Q3.
Marlene Lenarduzzi: Thank you, Vin, and good morning. For today's call, I'm going to speak to the overall results of the quarter before addressing credit. At a high level, we faced challenges this quarter, and there are positives to share as well. Despite headwinds, our capital levels remain strong and much higher than regulatory minimums, which importantly underscores our resilience. Looking at our lending portfolios. Loans under management increased 3% sequentially and 10% year-over-year to approximately $74 billion. And combined with our administrative assets stood at new record of $137 billion at quarter end, up 9% year-over-year. Of note, conventional lending, which is the most significant contributor to net interest income increased 2% quarter-over-quarter to $34.6 billion and is up 6% year-to-date. By business, the personal lending portfolio benefited from single-family origination growth, driving uninsured loans under management to $24.4 billion up 2% quarter-over-quarter and 8% year-over-year. Single-family uninsured originations in the quarter increased 30% year-over-year. Our decumulation lending portfolio reached a record of $2.7 billion, up 8% sequentially and 41% year-over-year. In Commercial Banking, we capitalize on our leadership in lending to the insured multi-unit residential market. CMHC ensures multiunit residential loans under management grew 8% sequentially and 30% year-over-year to $31.4 billion. Commercial Lending, excluding insured multis grew to $10.2 billion or 3% quarter-over-quarter driven by growth in insured construction lending. For EQ Bank, we added 26,000 new customers, a gain of 21% year-over-year, while deposits increased at their fastest sequential rate in all 3 years to $9.7 billion. Despite this progress, revenue and earnings performance for the quarter was below expectations, resulting in ROE of 12.4% year-to- date. Headwinds in credit have persisted. Cost of funds have increased and expense growth outpaced revenue growth. As a result of this lower performance year-to-date, we anticipate ROE for fiscal 2025 will be around 11.5%. Now turning to credit. Credit was more challenging again in Q3 in the context of the macroeconomic environment. We leverage forecasted macroeconomic scenarios developed by Moody's analytics, which evolved more negatively this quarter, resulting in $10 million of additional provisions on performing loans bringing our total Stage 1 and 2 allowances for credit losses to 27 basis points, up from 25 basis points in Q2 2025, and up from 20 basis points in Q3 2024. Performing provisions were driven by $4.4 million in commercial, $3.2 million in personal lending and $2.3 million in equipment financing. This brings our overall allowance to $174.4 million in the quarter or 33 basis points, up 4 points sequentially and 7 points year-over-year. Stage 3 provisions were relatively flat quarter-over-quarter at $22.9 million, with increased provisions in single-family residential mortgages, offset by a reduction in provisions in our equipment financing portfolio. Impaired provisions on personal loans were $9.6 million, mainly driven by larger loans and a small pocket of loans in Toronto suburbs, where we have observed steeper price declines from their peak. Stage 3 provisions in Commercial were $6.4 million, down $0.4 million quarter-over-quarter. Like personal lending, most of these provisions are related to a small set of existing impaired loans. Equipment financing Stage 3 provisions were down to $6.9 million, $3.7 million lower than in Q2. Now turning to gross impaired loans. The impacts of the macroeconomic conditions have contributed to an increase in gross impaired loans of 5% quarter-over-quarter to $815 million, driven largely by a personal lending. Gross impaired loans and personal lending increased to $352 million this quarter, a 9.5% increase from Q2. This was largely driven by credit migration and a softening in the housing market. However, we have seen a decrease in formations in early-stage delinquencies. Gross impaired loans in commercial lending and equipment financing were relatively flat over the quarter. We remain confident in the quality of our lending portfolios and our prudent approach to managing the lending portfolios through the credit cycle. In early 2024, we enhanced our underwriting criteria in vulnerable segments which manifested in a decrease in personal lending early- stage delinquencies that I talked to earlier. In our uninsured SFR portfolio, our average credit score is 711, our overall LTV is 64%, and our average origination LTV is 71%, reflecting our disciplined approach to underwriting. All these factors lead to a portfolio that is much more resilient to potential stress. Interest rates have come down since their peak in 2022 and a further rate cut may occur in the fall. This should support -- this should provide support for medium and long-term growth. In the near term, economic headwinds may continue to delay resolutions beyond Q4 and into 2026. In conclusion, the adjustments made across our businesses over the last 18 months is building resiliency into all our lending portfolios. Now over to David.
David Wilkes: Thank you, Marlene. I'll walk through the financials. Overall, EQB's net income for the quarter was $80.3 million, down 15% from Q2 and 32% year-over-year. Diluted EPS was $2.07 and ROE was 10.1%. Despite headwinds, these reflects -- these results also reflect our disciplined approach to growth in a complex environment, including a focus on credit quality and diversified funding, which strengthens our platform and positions us well for the future. Let me unpack the drivers of our earnings this quarter. Our revenue in Q3 was $310 million, down 2% quarter-over-quarter and 5% from last year, driven primarily by net interest income and the influence of year-over-year declines in policy rates. Net interest income was $254 million, down 6% quarter-over-quarter and the same year-over-year. And of the $17 million decline quarter-over-quarter over half can be attributed to the one-time benefit mentioned last quarter on the call, nearly $8.5 million or 7 points of NIM. As you will hear consistently from us, we manage EQB to a target 1 year duration of equity, which limits exposure of our economic value of equity to interest rate movements. However, there are areas of NII that can be affected as the lending book and interest rates change. And in the quarter, there were three main drivers. First, mix shifts in the lending portfolio as some higher margin lending matured and repriced including some commercial loans with floor rates that had been contributing to NII. Second, a decline in contribution from EQ Bank as we purposely maintained some product rates as prime declined, and as customers increasingly choose deposit products such as our Notice Savings Account and payroll for every day. These products provide clients with higher rates and while deliver great value for EQ Bank through stronger engagement and more stable lasting deposits. And the third factor NII was also impacted in the quarter due to a higher liquidity portfolio associated with higher securitization activity as well as more activity in our wholesale funding program. Our net interest margin was 1.95%, declining at 25 basis points from elevated levels in Q2 and year-to-date, NIM was 2.07%, and we continue to expect to meet our fiscal '25 NIM target of above 2% for the year. On noninterest revenue, as expected, we had a stronger quarter delivering $56 million and an increase of 25% from Q2 and in line with last year. This is primarily attributable to higher fee- based income, including contributions from ACM and Concentra Trust, higher revenue from our insured multi-unit securitization business with increased activity the spring as well as some gains on strategic investments. Provisions as noted by Marlene remained elevated in the quarter at $34 million, representing 28 basis points of loan assets. Moving to expenses. Noninterest expenses grew to $166 million in the quarter, up 6% from Q2. This was largely driven by investments in our Challenger team, technology spend and an increase in premises expenses as we moved our new headquarters into our new headquarters in the EQ Bank Tower in late April. Efficiency ratio increased to 53% in the quarter and above our historical operating range. On funding, as Marlene said, more customers are depositing more money with EQ Bank as total deposits reached a record $9.7 billion, and we also saw a notable rise in demand deposits, reaching $5.9 billion, up 9% quarter-over-quarter and 47% from last year. EQ Bank's demand deposit growth has been driven by customers choosing EQs Notice Savings Account and new and current customers bringing their direct deposits to EQ Bank. These demand deposits are more flexible for EQB and are more cost effective relative to other deposits. With the pricing being continuously optimized to balance long-term customer and deposit growth and near-term margin contribution. In the quarter, we were also very active in wholesale funding channels, an important part of our funding diversification strategy. And in Q3, we completed our latest benchmark covered bond issuance, raising EUR 500 million. In May, we completed a 3-year $350 million deposit note issuance, and subsequent to quarter end, we also issued a $300 million floating rate deposit note that closed on the first day of August. Our activity in this market has continued to lead to tighter pricing, helping make this funding even more attractive to EQB. I'll finish on capital. The bank is supported by a strong capital position with total capital of 15.7% and CET1 of 13.3%, exceeding the bank's targets and well exceeding regulatory minimums. EQB's capital allocation approach continues to prioritize reinvestment in organic growth, maintaining capital flexibility in order to pursue potential strategic inorganic growth opportunities and steadily increasing dividends. EQB's Board of Directors declared a dividend of $0.55 per common share payable on September 30, representing a 17% increase year-over-year. Finally, I'll remind you that as part of our capital allocation framework, we will opportunistically use normal course issuer bid, which was renewed and expanded in January. Share buybacks, while subject to market conditions or another lever we can pull to maximize long-term value for shareholders. In summary, we move forward with strong capital levels that support our customers, our challengers and the next phase of our growth agenda. And I'll now pass to Chadwick to offer his closing comments.
Chadwick Westlake: Good Morning, everyone. Thanks, David. Thank you, Vin, for the warm welcome. And special thanks to my colleague, Marlene. I'm greatly looking forward to partnering with her as our Chief Risk Officer. It's such a privilege to start this week as the CEO of EQB. This is Canada's Challenger Bank, and we are dedicated to helping build a better country, bringing real change to banking and giving Canadians the tool to maximize their financial potential. This has been true throughout our more than 50-year history and is crystallized over the past 2 decades under the leadership of Andrew Moor. I'm both honored and energized to lead this incredible company for our significant growth ahead. I've been on the job for just a couple of days, but I do want to share a few comments. First, on people. As announced yesterday, I'm very excited to welcome our new CFO, who is here with us. Anilisa is a remarkable talent and finance. Moving into this vital role. She brings her impressive experience, including her time at RBC as Chief Operating Officer for the CFO Group and VP Finance and Chief Accountant. Anilisa is a true challenger and was also recognized in 2020 as one of Canada's top 40 under 40 for her innovation, leadership and community service. We look forward to how she will shape the evolution of our finance capabilities. David Wilkes has been appointed Chief Strategy and Growth Officer as part of my executive leadership team. This is a critical new role that will enable David to devote his considerable talents and experience to drive our substantial growth agenda. Thank you, David, for managing EQB's finance function for the past 6 months. Also, a warm welcome to our new Head of Investor Relations, Lemar Persaud. Lemar joins us from Cormark Securities, where he served as an institutional equity analyst covering EQB among many other leading financial services companies. With his deep knowledge of our business and industry, he will be instrumental in building closer relationships with the investment community and our shareholders. With our deeply experienced team, I am confident in the resilience of Canada's Challenger Bank and how we will ignite and deliver the positive long-term change that hard-working Canadians deserve. I'll also offer a few brief comments on our strategic direction. I am completely focused on returning to growth. With our entrepreneurial nature and capability of the top Schedule I Bank in Canada, the outcome of our capital allocation is expected and must be consistent profitable growth with ROE remaining a foundational North Star. I'll share more precision on our updated strategic objectives and growth outlook for fiscal 2026 as part of our Q4 call in December. I am also pleased to share that we will be announcing an Investor Day for fiscal 2026. We intend to host this at the top of our EQ tower downtown Toronto and hope to be hosting this by late spring or early summer. In the meantime, let me be clear about a few key priorities. At EQB, our focus is and will remain here in Canada, where there is still so much to do and some opportunities to grow. We will not become distracted by other markets. I am deeply proud of our Canadian identity and we will invest all our time and energy into this extraordinary country. What you can expect is more of what is consistently propelled EQB to material growth and leading long-term total shareholder returns but a refined focus, including three key areas. One, our Challenger at scale. We will continue to do what we do best. This includes being exceptionable lenders to Canadian families and businesses owned by our deeply valued brokers and partners and our top position in the segments where we lend. We intend to pull further ahead in our winning position by investing to strengthen our competitive advantages. Two, Challenger to its full growth potential. This will include executing on our diversification and expansion strategies and payments wealth and our digital platform, EQ Bank. And three, Challenger to its greatest capabilities and purpose. We will invest in AI enablement to build with scale. We will continue to champion with our technology and fintech partners and our government and regulators on the importance of greater competition, open banking and innovation. And importantly, I own this now, and I believe a best-in-class efficiency ratio has been a competitive advantage, and I intend to be deliberate in our capital allocation with a sharp focus on returning efficiency towards our traditional distinct high-performance levels. We will not fall in the trap of trying to be all things to all people, but we will focus on segments where we can win. I look forward to sharing more with our customers, partners and shareholders soon. I'm intently focused on staying true to what makes EQB a force in Canadian banking, while unlocking new levels of growth relevance and impact for all of its stakeholders. With that, Joanna, can you please begin the Q&A portion of the call.
Operator: [Operator Instructions] First question comes from John Aiken at Jefferies.
John Aiken: Marlene, in terms of the deterioration we saw in the personal lending portfolio, I was hoping you might dive into a little bit more in terms of -- you mentioned that it was concentrated in Toronto suburbs, high-value mortgages. What is the outlook in terms of the evolution of this portfolio moving forward? Is this like a 1-quarter incidence? Or is this something we might actually see layering on for a couple more quarters?
Marlene Lenarduzzi: I think there's a few things we have to think about in the mortgage portfolio. So first off, when we look at our portfolio, it -- we have a couple of things to think about. One is we look at the outlook for our housing prices. We look at the outlook for the macroeconomic environment. But what we can tell you is that if I look at the increase in PCL for that residential portfolio. There's a really small number of mortgages are driving 80% of that PCL. And it is sort of very specific pockets and geographies where we saw price declines from their peak of about 30% to -- 25% to 30% as well as there are some idiosyncratic issues where you may -- when you repossess the house, you may find it needs a lot of work. But I would say that we look at the outlook, it really depends on a lot of different factors. But what I can tell you is we do see some improvement in early stage delinquencies and that gives us some optimism that, that should result in lower PCLs down the road.
John Aiken: And Marlene, just as I'm looking at the gross impaired loans waterfall that you have on Slide 9. Correct me if I'm wrong, my understanding is that this was loans that were already impaired. Is that correct? And then if that is, is that the -- part of the $43 million delta in others?
Marlene Lenarduzzi: For the commercial portfolio, the increase in impaired loans is related to loans that had already been impaired that we've been managing.
Operator: The next question comes from Doug Young at Desjardins Capital Markets.
Doug Young: I'm just trying to kind of get a sense of -- there seems to be a discrepancy in the impaired PCL trends for your single-family residential than what we're seeing with the big banks. And there's few things I want to get into. But I get where you operate is different in the big city centers, maybe it's more Ontario exposure exposed to more people that potentially could be impacted from unemployment in tariffs. Is there anything else that kind of really differentiates the book? And I'll tell you where I'm going with this because when I look at your single-family residential, your Stage 3 loans, the coverage ratio was 4%. And so you impaired -- your holding allowances of 4% of the impairment. And it seems like you're having challenges with recoverables on the mortgages. But when I look at one of the big -- I'll pick CIBC, like the coverage ratio on RESL for Stage 3 RESL is 22%. I'm trying to get a sense of why there would be such a big difference? I'm hoping you can help me a little bit of thinking through that.
Marlene Lenarduzzi: I can't obviously speak to CIBC's coverage approach. But I would say, for us, when we look at our portfolio, we have a great deal of conviction in our process to approach each loan individually and assess them on an individual basis and the provisions are set by our workout teams based on the characteristics of each individual loan that's impaired.
Doug Young: Okay. It just seems like it's a big discrepancy, but maybe I can follow up and talk a little bit more through that. And I guess maybe towards what John has kind of indicated, like I guess the sense and the question I'm getting, are we done with this erosion in single-family residential? And I think it's obviously, no one's got a crystal ball as where we sit today. It feels like early stage delinquencies is kind of settling back a little bit. Are you feeling more comfortable that you're kind of closer to the peak of this kind of erosion? Obviously, depending upon many things, but it feels like you are, but I don't want to put words in your mouth. I was just hoping to get a little bit of color on that.
Marlene Lenarduzzi: Well, as you know, we're in a period of unprecedented uncertainty, which makes forecasting and timing of recovery difficult. We have increased our Stage 1 and 2 provisions by $10 million, and this is really to account for further deterioration that may come in the macroeconomic outlook. And it's also observed by Moody's in their forecast as well. On the cautiously optimistic side, as I point to those early-stage delinquencies coming down is a bright -- a bit of a bright light. However, we really want to see more stable macroeconomic conditions before we can really get confident that we will see around the timing of when the recovery will happen.
Operator: The next question comes from Paul Holden at CIBC.
Paul David Holden: Thanks for giving the ROE expectation for the full year around some quick math on that. And it implies that Q4 earnings will be roughly similar to Q3. Is that math in the right ballpark?
Chadwick Westlake: Yes. I think, David, do you want to take that?
David Wilkes: Yes. Thanks, Paul. When you think about the major drivers across revenue and expenses, we expect similar performance in Q4, where there can be some uncertainty, obviously, is the last conversation we're having with Marlene, it's just on the provision expectations. So that will be the driver of any of the range and outcomes really in the next quarter.
Paul David Holden: Got it. Okay. And then second question, obviously, it was 11.5% ROE expectation for this year, well below prior objectives. So I guess, really two questions, but getting at the same point. Should we expect any change in the ROE objective of 15% to 17% for EQB. It's been long standing. And I would assume it probably shouldn't need to change? And more importantly, kind of maybe quickly, and I think it's a question for Chadwick is like what's the path to getting back there, again, without taking too much away from the Investor Day, but just high level, like what do you think are the key ingredients and getting back to the old ROE objective?
Chadwick Westlake: Yes. Thanks, Paul. I'll share more on 2026 specifically in December. And you're right, in Investor Day, we'll share more about our 3- to 5-year vision. Early days and strategic focus. But I would say the ROE that has traditionally been an advantage in North Star will continue to be an advantage in North Star for us and how we're allocating our capital. And we're first going to continue to allocate our capital importantly into our growth businesses. We're going to focus on returning our efficiency to our traditional best-in-class levels or a couple of the big components. But I do think we have, at this moment, as we shared conviction in the medium-term targets that we had, but we will get to that more in December. But it is like to my point, to be clear, traditional efficiency levels need to be delivered, and reigniting the growth in our core businesses where we'll win.
Operator: The next question comes from Gabriel Dechaine at National Bank.
Gabriel Dechaine: First question, I'm going to go back to this uninsured mortgage where we're seeing the residential mortgage that is, the increase in provisions for a couple of quarters now. From the sounds of it, we could be -- there could be more quarters like this ahead, but hopefully getting better as delinquency -- the early-stage delinquencies improve, as rate cut, but, nonetheless, we could see a bit more. I was just wondering about if you can identify a certain geographic exposures and certain loan vintages or something like that? Why could you justify booking perhaps a large performing provision because the -- maybe, I don't know if it's solely contingent on borrower risk but asset risk is also different.
Marlene Lenarduzzi: Yes. Thanks for your question. I would say a few things there. One is -- we do have -- there is a great deal of uncertainty, as I've said, right. Unemployment rate and interest rates are elevated on a relative basis. Housing sales are starting to show signs of weakness, which has contributed in the past through increased mortgage delinquency rate, particularly in the GTA region. And we may see that continue. I would say that from a geography perspective, there were pockets of geography and then to Toronto suburbs, for example, there are some pockets where we did see prices drop that 25% to 30%. We are well aware of those pockets and are monitoring them, and we do have appropriate levels of provision to account for that.
Gabriel Dechaine: So no then, like an outsized heavier weighting to really downside scenario that's not in the cards?
Marlene Lenarduzzi: The downside there are built into what we get from Moody's analytics. You can see that there's scenario outlook versus last quarter is much more severe. Plus, we do have specific overlays within our provisioning process on performing loans for those higher-risk segments.
Gabriel Dechaine: And then on the -- moving on the revenue side, I guess the -- some of the deposit cost trends we're working against you, but you have adjusted your pricing, I believe, on the high interest savings account, that should help. Looking forward though, if we get some rate cuts whenever that happens later this year, would you be thinking about moving more in lockstep with whatever the Bank of Canada does as opposed to lagging it for competitive reasons?
David Wilkes: Thanks, Gabe. I think it's more likely we would do that. We will -- we actively manage this on an ongoing basis. As you'll have seen yesterday, I think we lowered rates on some of our products by 20 basis points. I think when you think about rates declining, the other factor that you want to consider is the benefit we're going to receive from the commercial floors that are already in the money. So those are sort of tagged effects. We have $3 billion in commercial loans that will contribute more to NII if Bank of Canada moves. So think of that as the bigger move. But on the deposit side, yes, there's a good chance we would move more in lockstep.
Gabriel Dechaine: Okay. Great. And then I'll just throw another one. You've changed your full year guidance, I get that. and we can work out the math of what that means for Q4 earnings per share. Is the range is the toggle or the swing factor really the provision number because the revenues may be modestly better if the margin picks up and then expenses to do what they do, but really the maintenance swing factor is going to be PCL?
David Wilkes: Yes, yes. That's what I mentioned earlier, I think PCL would the bigger uncertainty tied to Q4.
Operator: The next question comes from Etienne Ricard at BMO Capital Markets.
Etienne Ricard: I want to follow up on one of the earlier questions on credit quality, and the divergence we're seeing for the impaired loans relative to some of the other banks, especially for single-family mortgages. So I understand your target markets tend to be a bit different with exposure to the self-employed as well as the new Canadians. Do you think these demographics is experiencing a tougher macro backdrop? And if so, why is that the case?
Marlene Lenarduzzi: When I think about this segment of our population, so it's true, 70% of our customers are self-employed and new Canadians are an important part of our customer base. That segment seems to be when we look at how these segments perform historically, these are very resilient -- this is a very resilient segment. These are people who are resourceful and particularly small business owners are able to really hustle to find ways to keep up with their payments. We have a well-diversified portfolio when we think about the range of products that we offer. And as well, when I think about this portfolio and the strength of our loan to values, that gives us comfort as we move forward. We also stress tested our portfolio, and I would suggest that through that stress testing, it gives us confidence in our ability to manage this through a cycle.
Etienne Ricard: So I guess what you're seeing is the relative divergence in the impaired loans, it's more of a geographic allocation?
Marlene Lenarduzzi: Yes, it could be. We have probably a higher concentration in Ontario than some of the peers.
Etienne Ricard: And the Chadwick, I've heard the word efficiency multiple times in your comments. What is the path looking like get back closer to the historical levels? Is a potential efficiency improvement going to be driven by growing revenues or maybe also relooking at the expense base?
Chadwick Westlake: Well, yes, I believe a competitive advantage always has been and will be a best-in-class efficiency ratio for Canada's Challenger Bank and our digital platform and the markets where we win. So as I said, I'll own this now, and we intend to return to that level of performance through both, as you indicated, revenue work and reigniting that revenue work through the three strategic categories that I called out in terms of Challenger at scale, Challenger to its full growth potential, and then there's several options on the table, I think, for revenue and the cost side. So there will be a combination, I think, as we get there over coming quarters, and I'll share more about that in December and at the Investor Day, but that is an important North Star under -- and really secondary and foundational to ROE.
Operator: The next question comes from Graham Ryding at TD Securities.
Graham Ryding: Maybe I could just jump into that sort of 2022 cohort where on the single-family residential side where it seems like prices are elevating its driving some losses. Can you quantify what the particular size of the book either in around the GTA or that 2022 cohort, what that represents as a percentage of your single-family residential book? That would be my first question. And the follow-on would just be, is it fair to say that the price declines that we've seen from 2023 and 2024 cohorts less pronounced and you feel less exposed from a potential credit loss perspective from those vintages?
Marlene Lenarduzzi: Yes. Thanks. The -- we don't disclose specifically the size of that -- of any kind of subsegment or vintage in our portfolio. But what I can tell you is that we look at our approach to lending, I do feel more that there's less movement in those more recent vintages as well. When I look at the 2022 vintage on average, it's still supported by a relatively strong loan to values on HPI adjusted loan-to-value basis. So that gives us confidence in what could come out of that moving forward.
Graham Ryding: Okay. And then just on the capital and the buyback side, just given the macro backdrop and the lower loan growth that you're seeing currently, and then your consideration to share price, is it fair to say that your appetite for buybacks is reasonable currently?
Chadwick Westlake: Thanks, Graham. I'll reinforce our capital allocation strategy. So first, we're -- we obviously have a great capital position, intended to maintain one. We'll continue to invest first in the business. We have a consistent dividend strategy. We'll always be looking at inorganic opportunities. But in general, belief is we trade well below our intrinsic value, and we'll continue to allocate capital according to that filter. So there's an NCIB for a reason. But the capital allocation filter really goes in that sequence.
Operator: The next question comes from Mike Rizvanovic at Scotia Bank.
Mehmed Rizvanovic: A couple of questions, hopefully quick ones. But I wanted to start with the gain on sale and income from retained interest line. Obviously, this has been a very, very important driver of your revenue diversification. It's been growing very, very strongly. Can you talk a little bit about the components here? So there's the volume side where I do believe that you would look to use your full allocation with this TV program. And in fact, like when you book gains, I'm guessing the duration matters too. And with a flat yield curve, I would imagine your borrowers would prefer the 10-year over the 5-year. Now you've got some steepness in the yield curve. Is there a dynamic where this line has downside risk? And I'm not trying to pin you on any sort of guidance, but $26.5 million is a record number. I'm just trying to better understand if this is a line that could legitimately go beyond $26.5 million as a run rate? Or is it something that could actually gravitate down to the $20 million range. So if you had to sort of look at a high level, where do you see this trending over the course of the say, 6 to 8 quarters?
Chadwick Westlake: Thanks, Mike. Good to hear from you. David, do you want to take that question?
David Wilkes: Yes. Thanks, Mike. Yes, you pointed out there are two drivers in the gain on sale and retained interest line. The retained interest portion is tied to the portfolio that's already here. And so that will continue. It accounts for probably more than half of that line. And then as you said, the gains on the actual securitization activity depends on the origination volume and our ability to find funding for both directly, as you said, into the CMB programs or other alternatives. So we see this quarter similar to this quarter last year as a strong performance in that line. We see the retained interest continue to grow as the loan under management grow on that piece. And then as you said, the gains on securitization a little bit depends on customer appetite across the 5-year and 10-year, but continued activity in that market last quarter, and we're seeing that trend continue in the next quarter.
Mehmed Rizvanovic: So do you think this is sustainable? And in terms of the upside, is there upside or notwithstanding a change in the CMB support level, the $60 billion that the government currently allocates, would that have to move for this line item to have upside beyond this type of really strong level that you're reporting currently?
David Wilkes: The $60 billion program is definitely a major contributor. It's not our only source of funding for these types of assets. But just expect -- we expect continued strong performance, likely at this level with small growth.
Mehmed Rizvanovic: Okay. Got it. And then I also wanted to follow up on the expense side. Obviously, the revenue environment seems to be a bit challenged right now, not just for EQB, but for a lot of lenders, in particular, the residential mortgage side really hasn't come back. We really haven't had much of a rebound in the spring lending market. If you look at dollar volume on the origination side. So what I'm wondering is -- and maybe this is for Chadwick, as you think about getting back to a growth profile and getting your efficiency ratio back to something that looks better versus the 53% you reported this quarter. How do you sort of think about an environment where maybe the revenue is just not as robust as what might have been expected a few quarters ago. Is that a hindrance to getting the efficiency ratio down to where you ideally want it to be? And then I guess as a follow-up, would EQB ever consider somewhat of a bigger sort of sizable restructuring charge?
Chadwick Westlake: Thanks, Mike. Few things, I'll share more about our outlook for next year in December, and this will become part of our Investor Day in terms of how we intend to operate our traditional best-in-class levels for efficiency. I agree the revenue headwinds play into the mix. But I will have a heightened focus as well on how we allocate every dollar. All of our capital to ensure we're allocating it into our higher sources of growth, as I've outlined. So that will include for sure, our view of how we spend and spend wisely. I've just been back for a couple of days. I need to take some time to go through that with the team, but there will be a heightened focus on that. Always knowing first priority is revenue growth. But by the way, we're going to land back at that efficiency range.
Mehmed Rizvanovic: Okay. So this is more of a longer-term view, but you're not contemplating anything in terms of a more sizable restructuring type scenario? Like we do see that with some of the larger banks. I'm guessing that's probably not in your DNA. Is that fair?
Chadwick Westlake: I'd say, I just started as the CEO. It is a new era. We will -- we have our traditional strengths that I expect to continue. But all options are on the table as we look to deliver our strategic agenda, Mike. So we'll be looking at how do we accelerate revenue and how we ensure we have economy of scale and our spending wisely, that might include reallocation of resources and dollars and that might include also slowing that level of expense increase. I do think there's work to do on both sides, and I'm very focused on that together with the leadership team.
Operator: The next question comes from Stephen Boland at Raymond James.
Stephen Boland: A lot has been covered, but I want to go to that slide on your NIM. You've kind of said Q4 would probably be in terms of profit similar to Q3. So you only need like a 1.95% NIM in Q4 to get to that 2% average. So kind of base that. But I'm curious about the reasons for the NIM decline. I mean I understand the increase in the liquidity portfolio. But when you mentioned that the attrition of higher-margin loans where you had the floors have rolled off and deposits, certain deposits that are coming in are obviously more expensive. But it's 1 quarter. So I'm really struggling why even if Q2 was kind of a onetime -- there were some onetime items in there that you're not above 2% in the quarter. How does it like 1 quarter of movement in the portfolio and maturities and repricing of loans impact you that much? I guess, is the question.
Chadwick Westlake: David, do you want to present for the NIM?
David Wilkes: Yes. Thanks for the question. Like as we think of Q4 and the underlying trends that I mentioned, both on the commercial mortgages and on EQ Bank deposits like we do have the lever on the each bank deposit side. You mentioned more expensive deposits, but these deposits are a better cost of funds. We do have that lever there. We wouldn't expect the liquidity portfolio to be higher quarter-over-quarter, as our funding programs will show slightly less activity potentially between the 2 quarters. And then the one place that you mentioned is the commercial loan maturities. And we will have some more maturities on the uninsured portfolio. Some of them will have floors and one of the countervailing effects there will be the benefit of the floor potentially expanding with Bank of Canada moves.
Stephen Boland: Okay. And Marlene, I don't want to hammer this to debt, but we've seen some stabilization in single-family and granted, I understand you're talking about vintages that were 3-year mortgages or 5-year mortgages, like underwritten in 2020 or 2022. But like you traditionally always -- your LTVs have always been around the 70% mark. So I don't think I've seen anything that shows a 30% decline in housing. So even in Toronto. So I'm just curious, like, I mean, are these houses really beat up like that -- like that you've gone -- you've eaten into that LTV. I don't think I've ever seen that with [indiscernible] before, that was a concern.
Marlene Lenarduzzi: Yes, there have been pockets, very specific pockets. As I said, it's about 50 loans. It's a small portion of loans about 50 loans that are generating 80% of the decline. So it's very targeted pockets where these are larger loans and there are larger loans that did see price declines in some areas of 25% to 30% since their peak in 2022. And for that 2022 vintage, just as a reminder, our mortgage terms tend to be very short. So that vintage would have renewed most of it's renewed two times already. So the first time they would have renewed it would have been at the higher interest rate and then they since re-renewed at lower interest rates. So again, that's also helping to provide some relief in terms of their carrying costs and gives us more confidence moving forward as a part of that green shoot. But however, we are still seeing some uncertainty in the market.
Stephen Boland: Okay. So these mortgages have already been renewed? I thought it was a 3-year or a 5-year duration, but you...
Marlene Lenarduzzi: No, largely like 2 years -- 1 to 2 years, typically.
Operator: Next question comes from Darko Mihelic at RBC Markets.
Darko Mihelic: Covered a lot of ground. I'll be very quick. I also wanted to ask about the margin. I get the Q4 view. So I'm happy with that. I guess where I'm going -- what I'm thinking about is longer term into '26. And one of the things that I'm seeing with the larger banks, is a bit of a shift, right, in the deposit mix. We're getting actually getting term declining, demand savings balances rising and that's been very beneficial for larger banks. I don't get the sense that can happen here. I see actually that your term deposits, which are brokered are growing and probably necessary given the growth rate that you have with loans. So I wonder if you could provide some insight into how that term book on the deposit side is maturing and rolling off and on. And is there any possible tailwind coming from that or not? That would be helpful just so I can frame and think about some of the drivers for your NIM into '26 and '27.
David Wilkes: Sure. Thanks, Darko. I'd split that into two pieces. You mentioned the brokered -- the brokered term deposits, we see that as our marginal cost of funds. So you'll see growth there or marginal funding source. So you'll see growth there as the portfolio grows, where you'll really see that more -- that behavior more apparent as an EQ Bank. And so you can see it in the growth in the demand deposit in EQ Bank and the term in EQ Bank coming down. So we're seeing that behavior, too, where customers that had purchased the GIC with us last year at this time at 5% are now rolling into our Notice Savings Account product or our HISAs. And both of those, we manage to -- while still giving great value to customers a broader margin. And so I think you'll see that, and that's where we can actively manage go forward in the EQ bank side.
Darko Mihelic: So would I be correct in presuming that as we roll forward unless we get rate cuts that you would still get some improvement in margin taken all in on your term book or am I wrong in that?
David Wilkes: Yes. The way I think about it is the sort of split between EQ Bank and again, the rest of the brokered market, EQ Bank, as it shifts a little bit more to demand each quarter. And so it's more -- our demand deposits are up 47% year-over-year. that's where we get more margin in the deposit book. The rest of the lending portfolio is priced relative to the broker deposit. So we don't see expansion there. That's really just almost our FTT type number.
Darko Mihelic: And so the cut in rates at EQ Bank is not expected to have an impact on your growth rate of those deposits?
David Wilkes: No. We think the value prop right now is very compelling in the market.
Operator: Mr. Westlake, there are no further questions. Back to you for closing comments.
Chadwick Westlake: All right. Thank you. Thanks again for joining us, everyone, today. And for some of our listeners, Anilisa Sainani, Lemar, David and I will be at the Scotia Financials Conference on September 3 and the CIBC Financial Conference in Montreal on September 25. To everyone, I look forward to sharing more in December. Have a great day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and we ask that you please disconnect your lines.